Operator: Good afternoon, and welcome to Applied Blockchain's Second Fiscal Quarter 2023 Conference Call. My name is Doug and I will be your operator today. Before this call, Applied Blockchain issued its financial results for the second quarter of fiscal 2023 ended November 30, 2022 in a press release, a copy of which will be furnished in a report on Form 8-K filed with the SEC and will be available in the Investor Relations section of the company's website. Joining us on today's call are Applied Blockchain's Chairman and CEO, Wes Cummins; and CFO, David Rench. Following their remarks, we will open the call for questions. Before we begin, Jeff Grampp from Gateway Group will make a brief introductory statement. Mr. Grampp, please proceed.
Jeff Grampp: Thank you. Good afternoon, everyone, and welcome to Applied Digital’s fiscal second quarter 2023 conference call. Before management begins their formal remarks, we would like to remind everyone that some statements we're making today may be considered forward-looking statements under securities law and involve a number of risks and uncertainties. As a result, we caution you that there are a number of factors many of which are beyond our control, which could cause actual results and events to differ materially from those described in the forward-looking statements. For more detailed risks, uncertainties and assumptions relating to our forward-looking statements please see the disclosures in our earnings release and public filings made with the Securities and Exchange Commission. We disclaim any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. We will also discuss non-GAAP financial metrics and encourage you to read our disclosures and reconciliation tables to applicable GAAP measures in our earnings release carefully as you consider these metrics. We refer you to our filings with the Securities and Exchange Commission for detailed disclosures and descriptions of our business, as well as uncertainties and other variable circumstances, including but not limited to risks and uncertainties identified under the caption “Risk Factors” and our annual report on Form 10-K. You may get Applied Digital’s Securities and Exchange Commission filings for free by visiting the SEC website at www.sec.gov. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of Applied Digital's website. Now, I would like to turn the call over to Applied Digital's Chairman and CEO, Wes Cummins. Wes?
Wes Cummins: Thanks Jeff and good afternoon everyone. Thank you for joining us for our fiscal second quarter 2023 conference call. Our topline results exceeded expectations with revenue of $12.3 million in the quarter above the $12 million we discussed on last quarter’s call that represents the steady state capabilities of our 100 megawatt Jamestown facility, which continues to perform as expected. When we coupled that strong performance of our Jamestown facility with our Ellendale and Garden City facilities that are expected to be energized in the near term, we are confident in our ability to deliver long-term high margin sustainable cash flow for our company. So now let me update you on the progress of our two upcoming facilities, our 200 megawatt facility in Garden City, Texas and our 180 megawatt facility in Ellendale, North Dakota. In Garden City, construction of the facility is complete and we're actively installing miners at the facility. We've received regulatory approval and are working through final technical details with the utility and our wind partner. We expect to energize by the end of our current fiscal quarter. Our Ellendale facility has made great strides on construction in spite of the harsh winter weather of North Dakota. All concrete has been poured which was the key gating item determining the construction timeline and the buildings are being actively stood up. We expect Ellendale to be energized towards the end of the current fiscal quarter as well. Recall Ellendale is fully contracted by Marathon for five years. In addition to the build out of our next generation data centers, we have also made an important branding update changing the name of our company from Applied Blockchain to Applied Digital. The name change more accurately reflect Applied’s mission, services and broad business offerings to serve customers who require low-cost power for their high performance computing needs. Ultimately, our core assets are low cost and reliable power contracts and our next generation data centers, which we have wide-ranging use cases beyond cryptocurrency, including applications and machine learning, artificial intelligence, image processing, graphics rendering and various Web 3 applications. We will remain a premier provider of digital infrastructure for cryptocurrency miners, but it's important for us as a company to distinguish that our next-generation data centers support many other HPC applications as we look to capitalize on the rapid, rapidly growing high performance computing market which is set to reach $65 billion globally by 2030. To be clear, we still continue to see robust demand from cryptocurrency miners that exceed our capacity, irrespective of the macro dynamics in the sector, as low-cost hosting capacity remains the bottleneck in the system. However, we believe it is in the best interest of our shareholders to diversify our customer base, and grow our exposure to other high growth segments of the HPC market. We're beginning to capitalize on this broader HPC market opportunities we announced last month we broke ground on a 5-megawatt standalone facility adjacent to our Jamestown site that will host several 100 graphics processing units for machine learning application with a new customer. Concurrently, we're also -- we also retrofitted a small portion of our existing facility in Jamestown to support a Web 3 application with another non-crypto customer which demonstrates our ability to modify existing locations to accommodate various HPC customer needs. We’re optimistic about our growth opportunities in the HPC market where our next-generation data centers offer a more purpose built solution than traditional data centers that are generally higher cost and more focused on delivering low latency than high compute power. Before I turn the call over to David, I want to address a few line items in our financials. First, our stock-based compensation expense was extremely high in the quarter. This is a result of almost two years of stock-based comp being recognized in a single quarter, which was triggered by our resale registration statement becoming effective in October. In addition to the multi quarters being recognized in a single quarter the value of the RSUs in many cases were significantly higher than any price our stock is traded at since our NASDAQ Listing. This was due to the RSUs having been granted when the stock was thinly traded on the OTC. Second, our gross margin was lower in Q2 partially due to billing adjustments that happened in September from the partial outage of the Jamestown site that occurred in the first fiscal quarter. Gross margins are expected to be significantly higher in our current fiscal quarter, as you will see in David's guidance. This is a more normalized level. I will now turn the call over to our CFO David Rench to walk you through our financials before providing my closing remarks. David?
David Rench: Thanks Wes and good afternoon, everyone. Before I begin my remarks, I would like to note that like last quarters call since we did not have operations in a year ago comparable period, we will not be providing any year-over-year comparisons. Revenues in the fiscal second quarter were $12.3 million, which were entirely attributable to our hosting operations in Jamestown, North Dakota. The Jamestown site operated at full capacity throughout the quarter. Cost of revenues in the fiscal second quarter were $11.8 million, consisting of $10.3 million of energy costs to generate our hosting revenues, $900,000 of depreciation, amortization expense and $700,000 of personnel expenses for employees directly working at our Jamestown hosting facility. Note that while our energy services agreement for Jamestown has a largely fixed costs, there can be quarter-to-quarter variability based on seasonal power prices, which were higher in our second quarter than other recent periods. This may also impact our revenues in our fiscal third quarter, but this is expected seasonality and that normalizes itself over full year periods. Adjusted gross profit and non-GAAP measure that excludes depreciation embedded in costs of revenue and one time electricity charges was $1.5 million or 12% of revenue for the fiscal second quarter of 2023. Operating expenses for the fiscal second quarter of 2023 were $27.2 million, which included $21.8 million of stock-based compensation, $4.7 million of other selling, general and administrative costs and $700,000 of depreciation and amortization expenses. The elevated stock-based compensation during the quarter is anomalous with as accounting rules dictated that we have a catch up of recording these expenses as we had our registration statement declared effective related to the potential resale of previously awarded restricted stock and restricted stock units. We do not expect such events to occur going forward based on our currently outstanding awards. And it's important to note that the stock-based compensation is of course a non-cash expense. Adjusted net loss from continuing operations for the fiscal second quarter of 2023 was a loss of $3.7 million, or a loss of $0.04 per basic and diluted share based on the weighted average share count during the quarter approximately $93.4 million. Net loss attributable to Applied Digital for the fiscal second quarter of 2023 was a loss of $26.6 million or a loss of $0.29 per basic and diluted share based on a weighted average share count during the quarter of approximately $93.4 million. Adjusted EBITDA, a non-GAAP measure for the fiscal second quarter of 2023 was a loss of $2.1 million. Lastly, on our balance sheet, we ended the fiscal second quarter of 2023 with $18.1 million in cash and cash equivalents and $20.5 million in debt. During the second fiscal quarter of 2023, we received $10.6 million in net customer deposits, and $10.2 million in net deferred revenue, which collected collectively amounted to $20.8 million in net cash inflow, due to the structure of our commercial arrangements with customers that incorporate upfront deposits and pre payments. In certain contracts, the pre payments are amortized back to the customers over the first year of their contract with no impact to revenue recognition, but the timing of the cash flow with the upfront cash to us is a major benefit to the company in that helps with our CapEx funding needs as we build out our data centers. Now turning to guidance, similar to last quarter, we will not be providing explicit guidance for the forward quarter, given revenue materiality of our Garden City and Ellendale facilities that we expect both to come online in the current quarter. With regard to our Jameson site, we expect our revenue generated to be slightly sequentially. With regard to our Jamestown site, we expect our revenue generated to be up slightly sequentially from fiscal Q2. We expect gross margin and non-GAAP numbers to be 25% of revenue or higher. That completes my financial summary. Now I'll turn the call over to Wes for closing remarks.
Wes Cummins: Thank you, David. Before we get to Q&A, I'd like to quickly go over some goals and initiatives for our company as we look to the future of Applied Digital. To start, we remain focused on the execution of our day-to-day business, and that includes operating Jamestown with high uptime and reliable performance and energizing our Garden City and Ellendale facilities in the near term. We continue to expect that once online, this hosting capacity should put us at an annualized adjusted EBITDA run rate of close to $100 million. To execute on this growth trajectory, we have also focused on remaining in a strong financial position. As David stated, we ended the quarter with $18 million of cash and cash equivalents and have over $7 million of undrawn capacity on our loan agreement for our Garden City facility. Also, our Ellendale facility is currently unlevered providing us optionality for a additional non-dilutive sources of liquidity to fund future build out. Lastly, the other strategic focus for us is to continue building out our non-crypto use cases to demonstrate the broad capabilities of our next generation data center assets. We are eager to initiate our pilot operations that I previously discussed and are actively in discussions with additional prospective customers for other HPC applications. We see significant potential in this part of our businesses as traditional data centers are a higher cost and less efficient solution than we can provide. With our proven ability to construct and operate low cost next generation data centers, we remain confident that Applied Digital will continue to be a leader in digital infrastructure in the digital infrastructure industry and capitalize on this market opportunity that is set to hit approximately $65 billion by 2030. To close while this is a difficult time for the crypto industry, we are extremely confident that we're in a position to come out of these turbulent times stronger than ever. This is an incredibly exciting time to be part of Applied Digital as we continue to build out our facilities to accommodate the strong demand we have secured by both crypto and non-crypto customers for our services. I remain optimistic about our future and want to thank all of our team members for the dedication and service to Applied Digital. We're now happy to take questions, Operator?
David Rench:  Hi, everyone, this is CFO David Rench. I want to quickly clarify that I misspoke on one metric during the remarks. I referenced adjusted net loss from continuing operations of $3.7 million. It was actually $3.8 million loss, which is reflected in today's earnings release. Thank you operator, we can now take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Lucas Pipes with B. Riley. Please proceed with your question.
Lucas Pipes: Thank you very much, operator. And good afternoon, everyone. Happy New Year, everyone. And congratulations on the progress on the HPC side. Thank you for taking my questions. My first question is in regards to Ellendale and Garden City. I wondered if for both sides, you can walk us through the in more detail on the kind of the current status. If we were at the site today, what would we see? And then more specifically to Garden City, what exactly is preventing the facility from being energized today? Thank you very much for your color on this.
Wes Cummins: Sure. Thanks. Thanks, Lucas, for the comments and the question. So at Garden City what you would see is as you can see pictures, I think up on our social media feed, but basically, fully constructed facility. There's some -- I think six of the buildings have miners racked in them. And so we're continuing to do that. We very recently, last week, received the approvals that we need. The last pieces of the puzzle here are mostly technical around metering and instrumentation transformers. And so we're finalizing that. And then so we expect to finalize that, obviously on the timeline that we said and energize before the end of February. So the way that energization looks is like we've talked, you really light up the buildings that are available. But we expect that facility to be fully online, by the by the May, June timeframe. Recall for our largest customer there, there's 90, we expect to bring that online sooner than that timeframe.
Lucas Pipes: That's, that's very helpful. Thank you.
Wes Cummins: Let me follow up. No, I missed the Ellendale piece. There, you'll see 4 to 6 buildings standing. We're putting racks in the buildings. The timeline there is we sat in front of the PSC in late December. I think we'll get the finalized approvals there. Feel very confident about that process. There's some work to be done by the utility on the substation, for interconnection. That's kind of the primary gating item but also our buildings aren't ready to turn on yet there either. But we expect that again by the end of February.
Lucas Pipes: Thank you, Wes. My second question is on Jamestown. Your customer, in a press release last week noted installing additional miners there. What allows that to take place given that this facility was already fully contracted? That’s it, thank you for your color on this.
Wes Cummins: That's a good question. So we're getting additional power, a little bit of additional power in Jamestown. So there's two pieces, it's optimizing Jamestown to have some additional power. And with Marathon, we've installed 6 immersion containers on site. It will be a trial for us for immersion. I think they've already been through that pretty in depth and know how it works. So those are there, we're waiting for a final sign-off, they're actually connected and mostly ready to turn on. So hopefully those turn on in the next few weeks for us and for Marathon. And so and then we have some additional space in the air cool. And we were shuffling one of our customers down to Garden City and not I guess, again, it's not any of the 90 megawatts that we've contracted with Marathon, we're moving some of their capacity or some of their miners to Garden City, and we're putting Marathon in place in Jamestown, and that will happen this month mostly.
Lucas Pipes: Very helpful. Thank you. Thank you, Wes. I'll do one last one, before turning it over. On the HPC side, you mentioned you're in discussions for additional commercial relationships. Can you give us a sense of the order of magnitude? In terms of the discussions you have in currently? Thank you very much for your color on this.
Wes Cummins: Sure. That’s a great question, Lucas. So I think you should think about HPC - the way I think about it is we're putting this facility up. We already have some GPUs running and we have some customers working and trialing on those GPUs in a couple of locations. The site that has been built in Jamestown, it's going to happen in phases. So really happens in 3 phases. The first phase goes up and there'll be 300 GPUs that run, we have two customers for those GPUs. And that's really kind of proving out how this works. And then we'll expand it from there by a little over 2 megawatts.  And then there's a third expansion by another little over 2 megawatts that would happen later in the year. So it's kind of staged a couple of months apart on each one. But the way I look at this is, we're seeing a significant amount of demand. And if we get these customers up and running successfully over the next few months, we'll sign additional customers, I have no doubt that we'll do that. But my view is signing a few there's a potential to sign a few very large customers once this is proven out. But we're, we've had some initial discussions with those customers, but we're not going down the track with them initially, we'd rather make sure that the that we kind of have these facilities tuned to where I think they should be and where the team thinks they should be before we do that. But the strategy is to add a few small customers and then maybe add, kind of what I would call an anchor tenant, similar to what we did with the Bitcoin mining later this year.
Lucas Pipes: Thank you very much, Wes to you and your team. Continued best of luck.
Wes Cummins: Thanks.
Operator: Our next question comes from the line of John Todaro with Needham and Company. Please proceed with your question.
John Todaro: Great, thanks for taking my question. Congrats on another quarter down here. First question, just as we do think about gross margin, so 25% of revenue for Jamestown, with the Texas and Ellendale sites when they're up and running, should we expect kind of a similar gross margin profile there as well?
Wes Cummins: I think we expect those sites to be a little bit more profitable than Jamestown. I mean, the target we're shooting for John is is around 30% gross margin, once we have everything up and optimized. It will need the site to be running for a couple of quarters to get there. Now that can be a moving target a little bit, because generally our business focuses on a spread between electricity and what we charge our customers. But where that's dialed in right now, I think I think looking towards 30% optimized gross margin is where we're trying to get to where I think we can get to.
John Todaro: Okay. Got it. Great. And just one other question for me on HPC. So just remind us and sorry if I missed this, kind of a timeline for the pilot program? And what is being determined in that? Is there some optimization you guys would look to do? Or is this really just kind of testing the waters before building more demand?
Wes Cummins: Yes, it's, it's both of those actually. So it's, putting the facility up, we've designed the facility putting it up and then making sure it works correctly for the application. So we have a software partner on this that is that we're working with as well and working through how that software works on site, specifically for machine learning. And so we're putting that up making sure it works on this location in Jamestown, making sure design looks good. And then we can expand from there, but it's yes it's truly both of those and so you should expect the 300 GPUs to be running in March. And then we'll expand from there. But, right now, I fully expect the full 5 megawatts to be running by the end of the year of 2023. But, if things were running well, there, we should already be, on to the next facility and expanding that.
John Todaro: Got it. Great. Thank you. Appreciate it.
Wes Cummins: Thanks, John.
Operator: Our next question comes from the line of Rob Brown with Lake Street. Please proceed with your question.
Rob Brown: Good afternoon. Congratulations as well. Just wondered how much CapEx do you project for completing Ellendale and Garden City?
Wes Cummins: I’ll let David take that.
David Rench: I think we have $15 million to $20 million more in CapEx to complete both of those. And we have that in cash and potential loans lined up. So we're in good shape there.
Wes Cummins: And we have additional pre payments.
David Rench: Yes. Additional pre payments.
Wes Cummins:  Rob, I think the important part about it is we think we're fully funded to build to finalize Garden City, Ellendale and the 5 megawatt HPC center as well.
Rob Brown: Okay, great. And then on the HPC business, maybe longer-term or midterm, how do you see that? It's a mix of your business that kind of playing out, in say three years out?
Wes Cummins: Yes. So that's a good question. The goal for us right now is at least 10% of our revenue coming from HPC besides Bitcoin by the end of this current calendar year. And three years from now, we're shooting for a 50-50 split by 2025.
Rob Brown: Great, thank you. I'll turn it over.
Wes Cummins: Thanks.
Operator: Our next question comes from the line of Chris Brendler with D. A. Davidson. Please proceed with your question.
Chris Brendler: Hi, thanks and good afternoon. Thanks for taking my questions. I may have missed this, but the gross margin came under pressure. And there's a note in the press release about some charges or some follow up from last quarter shutdown, he's given a little cover there. And with a normalized, non-GAAP gross margin look like?
Wes Cummins: Yes, Chris there was adjustments from specifically really the month of August. We had shutdowns in the way we build the customers got credits for that in September. And so you'll, you'll see that hit the gross margin. So in September, we actually had a slightly negative gross margin for the month because of those adjustments. So that impacted the full quarter. And then as I've made in the comments, in David's guidance, you expect gross margin to be above 25% for the current quarter. So significant move back up, and I think you should expect that to be more of a normalized gross margin for us right in that. And then to answer the earlier question that John had, I think the goal for us here is that 30% gross margin over time.
Chris Brendler: Great. Is it fair to take that normalized margin and sort of estimate the onetime charge from last quarter or it was also a comment on power costs being a little higher this quarter, [Indiscernible] there?
Wes Cummins: In Jamestown and you'll have this in Ellendale as well both in North Dakota. The power cost, it changes somewhat through the year but it will average out to the cost we expected to roughly plus or minus call it 10% for the year. We actually have a mechanism in our in our contracts that allow us to adjust for that which we do, but it's a little bit lagging. So in North Dakota, you are going to see some quarters were below that level on gross margin and some quarters were above that level on gross margin where we, call it overearn and underearn. Excess will be more stable than the prices it doesn't have a lot of seasonality to it, it's more fixed because of how we structured that.
Chris Brendler: Okay. Great. That's helpful. Separate are of questions. Obviously, a lot of stress in in the crypto mining sector and it seems getting worse rather than better. If you can give us an update on your customer base and how you feel outside of Marathon which we kind of have a lot more information to this public, but your private customer base, is there any situation that deserves we’re monitoring? Or is it still really good about the customers you've have?
Wes Cummins: We haven't seen anything yet. So we've Disney [Ph] we have GMR, we've got 2 pool we talked about in the previous call the other fairly large customers that our facilities and I think those remain, as far as those types of miners go kind of the best of the best financially. So we haven't had any issues. Obviously you can see Marathon I think I talked about that last time where I think from a balance sheet and liquidity position their best-in-class. I think they've made their liquidity position even better in December. So I think we have as good of a customer base as we can possibly have, in the industry call it the best houses in a bad neighborhood. But I don't, I don't know that there's any more color I can give you that. We've had no issue with payments or defaults or anything of that nature.
Chris Brendler: I guess, you benefit from being a relatively recent installation. So I imagine a lot of your customers have S-19s or better so they're more profitable than some of the older operating machines out there.
Wes Cummins: It's all S-19 pros or -- and then I think a lot of the Marathon equipment will be XPs as well. So, at the end, it's our customers have some of the most efficient miners in the marketplace. We run an efficient operation, and we charge a very reasonable price. So I think it makes our customers very competitive in the market.
Chris Brendler: Excellent. One last question is just the $100 million fund that you're participating or helping setting up. Is that going to require any capital on your side or is that they're independent from the way you're contributing to that?
Wes Cummins: It's independent from us. It’s just -- we have the ability to host if people who are not professional miners want to participate in a distressed industry, distressed environment, this is a vehicle for them to do that. And so we're, we're participating in that, but not from a financial commitment.
Chris Brendler: Awesome. Thanks, Wes and congrats on the progress.
Wes Cummins: Thanks.
Operator: Our next question comes from the line of George Sutton with Craig-Hallum. Please proceed with your question.
George Sutton: Thank you, Wes. Just going further with your best house in a bad neighborhood. And congratulations for now being in that spot. The future expansion plan do you have and inorganic opportunities? Can you just address the opportunities that you're seeing? And would should we be surprised to see you make a couple of larger inorganic bets as a result of this or not?
Wes Cummins: So George thanks for the question. I have spent a lot of time looking at those types of opportunities over the past five months now. And we just, we've seen some things that are interesting, we were in some processes where we made some bids. But I don't feel like I feel like there's distressed assets that are still not selling at distressed prices. So when I see assets moving at a price that is at or even higher than what it costs us to build, where I know, the site is good. I know the equipment is good. I'm just not going to buy anything like that. If I see something and we see something that is really attractive price, and we get really comfortable with I think you could see us pull the trigger on some opportunities that are out there. But I -- I've looked at a lot. I just haven't seen anything that makes sense for our shareholders. And, and the further along we get and the type of conversations we're having the customers that we're talking to our potential customers we're talking to on the HPC front, I just it's getting harder and harder for me to justify more money going towards, towards Bitcoin mining versus, versus the opportunities that we're seeing on HPC, specifically in machine learning and AI. We're just, we're having conversations with what most of the people on the phone here would have called well-recognized names, and, and there's just a lot of interest. And so it's another kind of a higher hurdle that we need to get over, if we're going to do something like that. But it's not stopping us from looking look at it every single week.
George Sutton: So falling further into your 50-50 split 3 years out relative to mining versus HPC. Outside of the 500 megawatts, you've announced, are we assuming in that number that you are continuing to expand the mining piece of the business?
Wes Cummins: No? I don't think you should. I think you should expect us to be really focused on HPC. Like I said, with the opportunities we're seeing there, the potential customers, the conversations we're having, I think you should expect us to focus more on that. There, what our soon to be the largest customer if they asked me to find another site and build it and we have a couple of really interesting locations. Would we do that? Absolutely. But we're really focused on the HPC side. And so, just to put that in perspective to get that 50-50 split. We're going to need to once we're fully live on the 500 megawatts, we're going to need to build out 50 to 70 megawatts of HPC to get to that 50-50 split.
George Sutton: Got you. And then finally, January 23, there's an RCOP meeting that an LF -- LT meeting that I was curious are you on that agenda? Is there anything that actually needs even a formal approval? Or is that not part of a process necessary for you?
Wes Cummins: We're not on that agenda.
George Sutton: Okay, perfect. Thanks, guys.
Operator: [Operator Instructions] Our next question comes from the line of Mike Grondahl with Northland Capital Markets. Please proceed with your question.
Mike Pochucha: Hi, this is Mike Pochucha on for Mike Grondahl. Thanks for taking our questions. Maybe just on Jamestown, you talked about the kind of retrofitting for that Web 3 application customer. Can you talk about how difficult that? Is that more or less plug and play? Or how much has to go into that?
Wes Cummins: Yes, it's not plug and play. We put some extra walls up a little extra filtration, but it's point being, it didn't take long. It took about seven weeks to do that. So if we needed to do more, more of that. It was one we needed. We were trying to find space for this. We wanted to put it online pretty quickly, because we wanted to wanted to get on this application fairly quickly. But two, I thought it was a nice exercise as far as can we retrofit some of this space? And can we run GPU CPU inside of it? And we can't. So but it didn't take that long. And it's not, it's not wildly expensive either.
Mike Pochucha: Got it. And then just Jamestown more broadly, you talked about the kind of 5 megawatts with the machine learning use case. There are a certain amount of either like space or bring in new power, like at a certain megawatt level, or become kind of a higher CapEx type of field to add more to Jamestown.
Wes Cummins: Yes, so if we want to expand more HPC or Bitcoin at Jamestown, we're going to have to spend some additional CapEx on the electrical infrastructure, mostly running align, it won't be prohibitively expensive. It's not like a substation or anything like that. So, but we will have to spend some extra. But I do hope that we're doing that in the second half of this year. Because that'll mean that the HPC stuff is growing as fast as we expect it to.
Mike Pochucha: Thanks.
Operator: Our next question comes from the line of Kevin Dede with H. C Wainwright. Please proceed with your question.
Kevin Dede: Hi, Wes, thanks for taking my question. On the HPC side, it seems like you're your go-to-market strategy is on power costs. I was wondering how your customers balanced that sacrifice or that gain for the sacrifice and latency? And it seems that even though demand is high for you, how, how do you market the fact that you're pretty much still non redundant facility? I guess I'm whatever additional color you can provide to sort of set your, the applied offering versus say AWS or Azure?
Wes Cummins: It's, it's a great question. So there's a couple of things that set us apart not just the power cost, it's going to be the total cost of the infrastructure, right. So the infrastructure is built specifically for this, the applications do not require ultra-low latency. So the machine learning and AI applications just don't require that nearly as much. Many of them are even interruptible, similar to how the Bitcoin mining is. We don't expect them to be in or interruptible. But we can run it in that fashion. We're going to give a lot more details as the year goes by. But we have a partnership was formed with a software company, a software development company that has a specific software that really is necessary to run these type of machine learning applications in our style of datacenter. Ultra efficiently. And so, I think this is going to come down to just a game of cost of compute, and we're playing to be the lowest cost compute provider. We get to put these facilities in North Dakota. We’ve low cost power, again, for purpose built for this, the facility is designed for this. And we're doing it around wind power. And the other big component here, Kevin, we've talked about is that we're going to use air cooling for a vast majority of the cooling here because of the climate. And that would that there's a couple of things. The electricity usage at most data centers is about 50% for the compute and networking etcetera, and 50% for HVAC. And so if we can take that down to you know HVAC being less than 10%, or even lower than that, that's going to be another significant cost saving. But it's also what some people refer to as green computing or truly green computing where we're using primarily renewable energy. We're using air cooling instead of using electricity to burn -- for HVAC. And so from that perspective, which the customers we're talking to, they absolutely care about that aspect of it as well. So if you're, if you're a significantly lower cost, truly green computing and provide performance that's on par with anything else they can they can sign up for, for the applicant for these specific Apple applications, I think we're in a really good position to compete and the kind of the conversations we're having tells me that we're on the right track here.
Kevin Dede: Okay. On the Bitcoin mining side, Wes, we're looking at a half price that's, I think, 25%, of where it was through the last downturn, or the last winter. I guess, listen, it seems to me that you're pretty fully booked up. But it just also seems to me that you would be getting some pressure from your customers, on helping them manage their profitability. And I know, you alluded to it a little bit, with Bitmain, and Marathon and just doesn't seem that you're getting that kind of pushback. But it's also a little bit difficult, at least from the outside to get my arms around that. Can you add anything to how you're managing those negotiations?
Wes Cummins: Yes. So we haven't had any price reductions in at all? I mean, it would be, it wouldn't be fair to say that you're our customers, even prior to where prices were aren't always trying to negotiate the best price, all the time. So that's on-going. And I don't think our industry is unique for that. But I think we are one of the lowest cost operators out there. And so, I don't we don't get a lot of pushback about that. And I don't really know what else to say.
Kevin Dede: No, yes. No, that's fair. I appreciate the color. I do. Chris brought up the investment fund. And you mentioned, you mentioned looking at opportunities there. And then my understanding is perhaps I don't understand it well enough to just help me get my, my thinking straight on whether or not your participation exists exclusively, on the hosting of assets that your partner's here delivered to your sites? Is that how to think about it?
Wes Cummins: No, it's twofold. So that the guys that GMR would run the site or run the fund, the actual mining of it. And they do I need to get into it too much. But they do some things around it as far as hedging and selling and things like that. But think of it as a mining, SPV or hedge fund, and there's a management fee on it, and we would get the hosting contract from the fund plus, we would share and 50% of the economics on the on the fees, and then GMR would run the fund. Does that make sense?
Kevin Dede: Yes, so they run the fund, you run the machines?
Wes Cummins: The management.
Kevin Dede: Split the management fees, but not the, I guess the Bitcoin mined?
Wes Cummins: No, that goes to the investors.
Kevin Dede: Right. Okay. And can you give us an indication on? I mean, obviously, the markets pretty depressed. I mean, I know that you've for Applied haven't seen anything, but have the GMR guys pulled the trigger on anything yet?
Wes Cummins: So there's multiple conversations. And I'm not directly involved in those conversations, but conversations going on, on two fronts. People put capital directly into the fund. And then also, some institutions, that are more financially oriented institutions that have that are in possession of crypto miners having an interest in doing an in kind contribution if that makes sense.
Kevin Dede: Oh, absolutely. Yeah, I could think of a bunch of companies that are in that situation. All right. Last question for me is just on your I mean, I know David pointed to I think $25 million maybe left to spend to build everything out that you've got set up. I was just wondering if you could speak to the how dynamic those costs have been right whether or not prevailing or how prevailing economics major changes inflation driving costs up or you seeing costs come down maybe on account of less lower aggregate demand for those types of things given the Bitcoin reset?
Wes Cummins: We've remained pretty on budget. We've seen some opportunities with finding equipment for some discounts, but mainly just contracted long along the way and keeping on budget. So no large swings bearing from our budget.
Kevin Dede: Okay, thank you very much, gentlemen. Appreciate the opportunity to put me in.
Wes Cummins: Thanks, Kevin.
Operator: We have a follow up question from the line of Lukas Pipes. Please proceed with your question.
Lukas Pipes: Thank you very much operator. Great discussion this afternoon. I thought, I squeezed one in. You mentioned, some of the names you're talking to on the HPC side would be recognized by most on the call and wondering if you could maybe elaborate on that a little bit and provide us a flavor with the sort of counterparties you're engaging with? Thank you.
Wes Cummins: The short answer, Lukas is I'm not yet ready to elaborate on that. And I'm not trying to hide anything or BATs [Ph]. I just I don't have permission to use any names.
Lukas Pipes: Well understood. I thought I'd give it a shot. Appreciate the follow up. And again, best of luck.
Wes Cummins: Thanks, Lucas.
Operator: There are no further questions in the queue. I'd like to hand the call back to Mr. Cummings for closing remarks.
Wes Cummins: Thanks, everyone. And I want to take the opportunity again to thank all of our employees. We've grown quickly and, and really appreciate everyone's hard work here, especially the rough weather we've had in North Dakota for the month of December and everyone on the construction side as well making it through that. So thanks, everyone, for joining us and talk to you next quarter.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.